Andrew Cole: Good morning, and thanks for joining us on our call today. Following some feedback from you, we have updated the format of today's presentation to hopefully present information in a more fulsome way. So we look forward to your feedback after today's session. With me today is Warrick Ranson, our CFO, who will take us through the financial performance at the relevant sections. Over the couple of pages ahead are our usual disclaimers and compliance statement slides, which are available in the deck and on the website for you to review at your leisure. Onto the highlights. In Australia, we've had a good start for the year with costs managed tightly and project timelines maintained, which will keep us on track for our 2021 guidance. We do expect copper production to increase over the course of the year as Prominent Hill's bottom-up mining sequence commences and we've resolved a short-term mobile plant availability issue at Carrapateena. The stronger Australian dollar and low gold prices are, however, impacting our all-in sustaining costs and C1 costs, so we have updated our 2021 cost guidance to reflect these changes. In Brazil, however, the situation continues to deteriorate with COVID-19 impacts escalating. Sadly, this morning, we were advised that one of our employees, who contracted COVID-19, whilst on holiday with his family, died from this virus. We are providing all the support we can to his family. This is the first employee we have lost to this virus. And unfortunately, the situation in Brazil is as bad as it has ever been and appears to be deteriorating. As a result of this, we are now expecting flow on operational impacts, which I'll discuss a little later. At the group level, OZ Minerals is in a net positive cash position of $19 million after growth investments and in the dividend payments. We have significant liquidity available as we look to advance through our next phase of growth, which is progressing well. So let me give you a few examples of these. The Prominent Hill expansion, resource delineation drilling program is going very well with drill results concerning previous models to date. The West Musgrave study, including drilling and approvals is progressing to plan, which has given us the confidence to now incorporate a drill program on the Succoth inferred resource with a view to potentially incorporating this into the Nebo-Babel base case. The Carrapateena Western Access Road field is going very well, which has given us the confidence to accelerate to build with a completion now during this year rather than next. The Carrapateena Block Cave expansion declined early works remain on schedule for later this year, and we've added more exploration projects to our pipeline and anticipate more being added in the future with the over strengthening our pipeline of options. Those familiar with OZ Minerals know that creating value for our stakeholders is at the heart of our strategy. This has been embedded into our governance systems throughout our process standards and how we assess risk. We've also hardwired into our new stakeholder value creation metrics, so we can make more transparent internal and externally how our performance in creating value for our employees, communities, our shareholders, government and our suppliers is tracking. We look at risk and material topics like sustainability through this lens. As those of you who joined us for the sustainability of the OZWay last month had a chance to see. This is what we believe will drive us to deliver on our purpose. On this new company snapshot slide is an overview of our assets and projects at different stages of development. To clarity, we've called out existing operations from those that sit in our growth pipeline, the ease of reference, there is also a quick video guide on the top of product, copper, gold, silver, and nickel that they produce or will produce. We expect to leverage our exploration growth program to add new opportunities to this pipeline for more future optionality and we are continuing to look at alternative approaches to develop this. Similarly, on the company snapshot and organic growth pipeline slide, this is a newly formatted one pager. We have captured our portfolio and the growth being considered in each province. Our approach is to look for copper rich provinces, where initial or existing investments can serve as a launching platform or hub by other opportunities. And we've built this momentum by taking this approach to our operations and projects. As you can see in 2021, our Australia portfolio aims to produce circa 160,000 tons of copper equivalent, excluding Brazil. However, with the Carra Block Cave now approved and assuming the Prominent Hill shaft expansion is approved in Q3 and West Musgrave project approved in 2022, assuming they are approved investable, of course, OZ Minerals could produce more than double this number, once all are operating. This is quite a transformative period for the company. On stakeholder value creation, we believe that it is only when we are creating value for our stakeholders that we can be a successful and sustainable company. These metrics provide a tangible assessment of how and where we create value, so we can track progress. During the quarter, there have been a number of value creation initiatives across the sites. I just want to talk about one. We have reviewed how we pay our people. We will no longer use performance incentives or bonuses underpinned by what we consider largely ineffective performance management systems. Instead, we have rolled these bonuses into fixed pay, trusting that people will deliver. These changes apply to everyone apart from the executives and have been well received by employees as it provides income certainty, but also set an expectation of continual and persistent higher performance and it enhances the environment of trust, learning and continuous individual reflection. In the activity in summary slide is our Q1 performance and a brief look ahead of Q2. At a group level, we are on track to deliver annual production guidance. With the stronger Australian dollar and low gold prices, all-in sustaining costs and C1 costs have reverted to pre-COVID levels from the lows of mid-last year, which were also influenced by increased gold production from the high-grade gold stockpiles at Prominent Hill. As a result of the ethics in gold price, we have adjusted our annual unit cost guidance. Prominent Hill continues to lively deliver. The accelerated decline in development is ahead of schedule and we are now establishing living infrastructure for the start of the bottom-up mining sequence. The bottom-up and top-down mining will enable an increase in mining rates from 2022 onwards to between four to five million tons per annum. Opening the deeper levels also facilitate access to the potential expansion using a shaft haulage system. We successfully transitioned Carrapateena’s underground mining contract to Byrnecut, continue to optimize the operation and also achieved processing records during the quarter. We are working through a shorter-term issue on below target equivalent availability, which once resolved will enable higher underground development rights and ore movement. Block Cave study activities are continuing on plan with the declines remaining on track to commence in Q4 of this year. At West Musgrave, the Board has approved funding for an integrated drill program to infill the Succoth copper reserves. This has the potential to take some of the infilled resource to indicated, which may then allow us to either add to the Nebo-Babel mine life of 26 years, or add annual production to the project, given Succoth is only 13 kilometers from Nebo-Babel. Our growth pipeline continues to advance, demonstrating the quality of the organic growth options available to us, with drilling programs at Prominent Hill, West Musgrave and Santa Lucia, all progressing to support key milestones and decision points led this year. Finally, our financial position as mentioned remains robust with $19 million net cash at the end of the quarter and significant liquidity available. I’ll turn to Warrick for some comments on capital management and cash.
Warrick Ranson: Thanks, Andrew. Good morning, everyone. Before I talk to our cash and cost flows, we touched briefly on capital management. So first quarter revenue complemented the ongoing achievement of a number of production milestones, we continue to focus on what's ahead of us on how we are delivering value. In an environment where we have a much stronger Aussie dollar against the U.S. dollar revenue base, margin performance, of course continues to be a key focus area for us. However, its great to see in our recent company-wide management session, how we are progressing across the group in our systematic thinking around the use of risk, volume forecast and the broader performance considerations reflected through our stakeholder value creation metrics has contributed to our overall value creation outcomes. Our strong operating cash flow continues to support our ongoing investment spend as well as maintaining our sustainable distribution of funds back to shareholders through our final dividend payment for last year. Pleasingly, we saw 25% uptake on our dividend reinvestment plan as part of this distribution and maintain the positive net cash position across the quarter. As reflects on Slide 11, operating costs – operating cash was principally allocated to mine development and a number of incremental improvement projects in the middle at Carrapateena, as well as that payment of that final dividend for 2020. At Carrapateena, spending included the commissioning of a second Jameson Cell and upgrades of the concentrate filter press and surface feed conveyor. We also progressed to work on the development of the western access road, which once complete will give us an all weather road and 24-hour site access as well as an increased logistics capacity. At Prominent Hill, resource definition continued in support of the shaft study, along with the development of the hanging-wall built on it. Of note, are included in operating cash flow, we also completed the western remediation activities and continued the progression of the tailings facility stage five. Spending of Carajás was associated with the continued progression of the Pedra Branca underground mine. We had a small increase in working capital quarter-on-quarter with a temporary increase in our Brazil concentrated stocks due to a shift to patches rolling into early April. We also recorded a final outlook in our low grade gold stockpiles at Prominent Hill. This is now fully reversed prior impairment adjustments. And we are now back to carrying net or stockpile at cost, it's pretty simply noted. We've had some other remain net cash positive at the end of March, with 95 million drawn on revolving credit facility. We continue to close out our total hedge book on a contract maturity basis, and that have just under 40,000 ounces remaining with the old contracts maturing by the end of this year. Moving to Slide 12 and this quarter, we've transitioned to now presenting our unit costs on a consolidated basis. We included a reconciliation of our C1 cash costs to operating costs in the appendix. I'm hoping this helps somewhat with the income statement adjustments that we make when representing our full financial results each six months. I happen to receive feedback on that as we go. After such a strong quarter full performance last year, a high unit cost performance was recorded with the impact of the stronger Australian dollar, effectively rebasing us for the current. The reduction in byproduct credits was primarily volume related as we move into processing the low grade gold stockpiles at Prominent Hill as previously forecasted. Importantly, we continued to perform well on an absolute cost basis across the group and outside of the change in our gold and FX assumptions at full year guidance hasn’t changed. We did however have our first major maintenance shot in the processing plant at Carra, impacting processing costs and along with the additional power infrastructure charges we've previously spoken about. Mining costs are also positive; reflect the timing of maintenance costs on the underground fleet, which will catch up with – during the second quarter. Transport costs in the last quarter of 2020 did include a year-to-date credit to reflect full year freight rate reconciliations. The negative quarter-on-quarter unit cost variance possibly reflects a revision to our usual levels as a result. Andrew?
Andrew Cole: Thanks, Warrick. In the following slides, I'm going to cover off a few of our highlights we haven't previously touched on. So firstly at Prominent Hill, in addition to the sustained growth in operational performance at Prominent Hill, the Malu paste plant, which is critical to our sub-level open stoping method recorded the highest monthly paste delivery in March, which represents a continuous improvement in the performance of the plant, which is great to see. The performance of Prominent Hill is also underscored by the signing of an agreement with Safescape to trial Bortana electric underground mine vehicle. This trial will help us inform future transition towards electrification of the underground vehicles and their path to zero emissions. In terms of growth and exploration activity at Prominent Hill and integrated teams progressing design and engineering work for a sharp enabled expansion is 6 million tonnes per annum in preparation for final investment decision in Q3 this year. Drilling results to-date are aligned with our expectations and work has begun to incorporate this additional drilling data into an interim resource model that when combined with the study should we expect to see an increase in the reserved underpin expansion study. Carrapateena, I'd like to thank both down Downer Mining and Byrnecut Mining for ensuring a successful transition of our entire underground mining contractor across Byrnecut. The transition has been successful. The timing and availability of the mine fleet leading up to and post-transition due to a maintenance backlog has had a short-term impact on all tonnes and lateral development. We do expect, however, this could be mediated in the next couple of months, productivity is expected to improve as a result of this. In terms of growth, the Carrapateena block cave expansion feasibility study has continued to progress, sort of de-risking the project and allowing rapid development of block cave declines to commence later this year. The block cave expansion looks to fully capitalize on the value opportunity of pumps that of the existing sub-level cave operations, helping us unlock Carrapateena’s potential to be a multi-generational lowest quartile cash cost producing provenance. At West Musgrave, as part of the approvals process, the team hosted a site visit to the environmental protection authority at WA, where they also joined a meeting with the traditional owners and Ngaanyatjarra council. The team also continued working with the Ngaanyatjarra people to create the mining agreement and advanced engineering design. Field activities resumed at the start of this year, which had kept the project on track for an investment decision expected in 2022. They also the Carajás and CentroGold Gurupi projects throughout COVID-19 stable support program, we supported surrounding local communities through the donation of hygiene kits. We donated rapid test kits to the health departments of the municipalities, right to the additional ambulances and donated oxygen cylinders to the local medical centers. I think this gives some insight into how much COVID-19 is escalating in Brazil. It has resulted in some challenging operating conditions. And we’ve seen that 20% of our people in Brazil contracting COVID-19. As I mentioned, we’ve certainly heard this morning that our first employee lost their life to COVID-19. We are of course supporting their family as best we can. Thankfully all other infected over the past year or so have recovered, because we expect these challenges to continue for some time. During the quarter and testing will perform to expectations despite disruptions and the short interruption over the expected workplace of range in the region. However, total development of Pedra Branca was lower than expected with many people requiring isolation following COVID tests. In terms of growth of the Carajás East resource drilling continued at Santa Lucia and we are on track to deliver a resource end study update in Q2 and Q3 respectively as planned. Well progress at CentroGold has moved more slowly this quarter due to COVID-19, where it is continuing on the environmental reports, updating of the prefeasibility study and progressing preparation for the village community relocation. Our growth pipeline has held us in good stead and we will continue to leverage our expression of growth program to new opportunities and maintaining our agile approach to portfolio management. So just a few things to note here. The true program at Clovis prospect was unable to replicate a copper grades and widths [indiscernible] 2019 drill program. So we are not anticipating any further work on this project. We entered into a new option agreement on the ground of project in Carajás it would now come in. And just after the quarter, we entered into our first agreement generated by [indiscernible] here in Australia, which took a tailor type lens how we traditionally generated the exploration targets. The agreement with Black Tie resources allowed us to drill test targets on the Pandurra project located on the Northern portion of the [indiscernible]. And if successful, we have the right to earn up to 75% of the project. We’ve updated our assets timelines slides. You could easily see the different assets, projects, stages of development and MROR information of the clients. Notwithstanding that it is indicative. I think this helps provide a quick reference to track the estimated delivery of different effects and projects in each province. Moving quickly to the key milestones of 2021, in Q2, we are expecting to release maiden resource Santa Lucia in the Carajás East. All other milestones remain the same as that we have shared earlier this year, except for the Carajás West hub study update, which we are now expecting in Q4 rather than Q3. Finally, closing out with guidance at a group level full year copper production guidance remains on track with Prominent Hill performing exceptionally well and Carra metal expected to increase quarter-on-quarter as short-term level plan availability issues are resolved. The strengthening of the Australian dollar and lower gold prices are expected to flow through the unit costs over the course of the year. So we have modified 2021 cost guidance. I, Brazil, while the team managed to maintain operational plans through the disruption of COVID-19 so far, deteriorating conditions mean we do expect development progress at Pedra Branca to be impacted. This may result in the Carajás East hub production, not meeting annual guidance, but we do not expect this impact, the OZ Minerals Group level 2021 guidance. At West Musgrave, approvals and permitting continues towards the project investment decision in 2022. Now with an added drilling program plan for Succoth. With the additional investment into the Succoth mineral resource development is expected the project study to 2021 will now be at the upper end of the guidance range. Finally, our financial position remains very robust with $19 million net cash at the end of the quarter and significant liquidity available. So very much looking forward to a pretty full quarter in Q2 and Q3. We’ll now open it up for questions. So operator, please ask you to remind our participant to ask questions. Thank you.
Operator: [Operator Instructions] Your first question comes from Rahul Anand from Morgan Stanley Australia. Your line is open.
Rahul Anand: Hi, Andrew and Warrick. I’ve got couple of questions on Carrapateena and then one on West Musgrave. I’ll take the Carrapateena ones first. Look, I wanted to talk a bit about the transition here in terms of the grade, especially. Or you’ve talked about, I mean, I can understand how the maintenance was impacted and there was a tonnage impact, but if you can perhaps talk a bit about the grade. And then, I guess, I asked this question because you’ve talked about a slow transition back to reserve grades. I mean, even if I run a 1.5% grade from the second quarter thrive through the end and I run the mill to capacity, I still get a bit below the bottom end of guidance. So I just wanted to understand how the guidance is being maintained and how you’re thinking about perhaps tonnages and grade. That’s the first one. I’ll come back in a second.
Andrew Cole: Sure, Rahul. So couple of things here first. So firstly, the shorter term impact is around mobile equipment availability and that’s a transition issue as we’ve transition between different underground mining contractors. So we’ve got a plan in place which they actively working through quite successfully today to bring about the fleet back up to where it needs to be and potentially beyond that. So we don’t anticipate the current issues. We’re seeing specifics through the course of the year. So that will bring development rights and production rights back up to at or above plan. In terms of the grade, sort of slight dip down in grade this quarter compared to last quarter and that’s really just plenty. So if you remember, the whole body facilities on, if you’re wiped from high guard in the middle of outwards, that’s really just about where the sub-levels is pulling all from. So you will see the grade continue to increase quarter-on-quarter here, as we start to get into the center of the whole body and we start to get deeper and pull deeper sub-levels out. So we’re quite comfortable in signing as a grade profile over the next three quarters through the end of this year, we’ll support the guidance we’ve issued given the mining province we’re expecting.
Rahul Anand: Okay. The only reason I asked was the release that it was going to trend towards reserve grade. And last I looked at the reserve grade, it was around the 1.5%. And I mean, if you run the 1.5%, you didn’t get to it. But that’s fine, I’m sure you’ve looked at the detail. In terms of the recoveries – yes, sorry.
Andrew Cole: Rahul, can I just add one point. So, yes, it will go through reserve over the longer term, which you’ll actually see increases of pump reserve grades of short periods. Remembering the top of ore body, once we’re out of this web and sign at the top of the – on top few levels is about average reserve grade.
Rahul Anand: Yes. Okay. That makes sense. And then the second on Carrapateena was around recoveries. Look, you have the second sale in place now. I just wanted to sort of talk about the recoveries, obviously above the study levels, both for copper and especially for gold. Have you seen some more data now? How are you thinking about recoveries for the life of mine plan?
Andrew Cole: Yes, Rahul good question. So however, it’s basically the same comment I mentioned last quarter. So I guess recovery is a very good at the moment. We’ve got the second selling place that supports recoveries. But we’re also using the second sale to optimize the process plant to deliver the right spec to the right customer. So we do vary our flow sheet depending on which customer we’re delivering. It’s too premature at this page to be uptight or changing our estimated recoveries because we are still pulling all from those top few levels do tend to have some weathering if you like. And in that folks, when we’ve talked about previously, we all watching it very carefully though. I just wouldn’t update models so far recoveries yet.
Rahul Anand: Okay, perfect. And then my final questions on West Musgrave. So on the financial results call Andrew we’d spoken and I we were talking about [indiscernible] and you’d said that it was not really part of the scope back then. I just basically wanted to understand sort of over the two months what has changed now that you’re progressing with that drilling and how we should be thinking about it. Thanks.
Andrew Cole: Yes. Good question, Rahul. I’m going to ask Warrick to add to this here in a second, but the main things the project – the Nebo-Babel project and the drilling of that is actually going really well. So the study is going very well. We’re reinforcing the results with Nebo-Babel and that’s what we wanted to make sure that the team is tight focused on the project and the scope of building that investment case out. And I’d say it’s tracking two of our players at the moment. So the other thing is that we last year reinterpreted the Succoth resource model, which gave us probably a slightly different interpretation of the ore body itself. And there’s 150 million tons of resource sitting there at about 0.6% Cu-Au. So that’s a fairly sizeable deposit. Now, what we believe we can do after some further investigation is drill part of the center of it to improve our confidence and probably aim to take at least top of that indicator. And if we can take it’s indicated we potentially can put production targets around it. So that then gives us the option of doing a few things. One is extending the mine lines of Nebo-Babel beyond the 26 years to incorporate that indicated component. It gives us the option of increasing annual throughput of the West Musgrave project, if we can demonstrate it adds value and/or if it also gives us a mechanism to de-risk pricing by increasing the copper content of the project in its totality. So fairly modest program of $12 million, we feel this actually gives us quite a bit of optionality. And we have the potential to actually change the shape and scope of the project. Do you want to add anything Warrick?
Warrick Ranson: Yes. The only other thing, to follow on, all the reasons that Andrew has indicated is, we have seen certainly a tightening in drill availability in the west. So whilst we've caught the drills there and sort of add to the project of progression out that.
Rahul Anand: Thanks for it. Thanks Andrew. That's all for me or pass it on.
Operator: Your next question comes from Paul Young from Goldman Sachs. Your line is open.
Paul Young: Thank you. Hi, Andrew, hi, Warrick. A few questions on Carrapateena and then also the question on West Musgrave. Andrew, just on the transition from Downer to Byrnecut, just curious about what actually happened there, as far as, what resulted in the drop in mining rights, was it the fact that your mining equipment had to come from United States, and also curious about is the mining fleet back up to full capacity, as far as, the number of units as we speak today.
Andrew Cole: Yes. Sure, Paul. So just to recap, so we've been using Downer underground mining services for our underground mining contract for the past few years, at the start of this year, we agreed with Byrnecut that contract would transition from Downer to Byrnecut. That transition is now complete. As part of that transition, we effectively agreed between the three of us that all of the fleet and the people would move from the Downer contract to the Byrnecut contract. So the same fleet that is onsite today was onsite during the Downer period. So we haven't actually seen a material change in the people or the fleet, it's just the parent operating that. One thing, one of the areas that we've been focused on, let’s say over the past four or five months is the maintenance rights – maintenance around that mobile fleet. And it's actually quite a backlog of maintenance activities, including build library, builds, et cetera, on that fleet that needs to be completed. So we kind of put extra resourcing and plans in place to get through that backlog. It's that backlog of availability or lack of availability that's caused off the dip in development rights and production. So we're working through that plan and we expect over the next couple of months that we'll be back to where we need to be.
Paul Young: Okay. Thanks, Andrew. Second questions on the record monthly throughput through the mill in March, you're quoting to, I guess 4.9 million tons per annum there, basically, you can't operate at that because that the mine is not at that rate, but just curious on the mill. Does that prove the fact that mill can do 4.9 and a close to 5, I should say. And I know you're trying to push the underground ultimately beyond 5. What more do you need to do to the mill to push it beyond 5?
Andrew Cole: Yes, look, Paul, actually not very much. So we've now installed the new tailings pump system, the new PD pumps. So we've got the pumping capacity. The mill effectively is operating pretty close to 5 as you are already indicated. We're fairly comfortable that the mill can support the mining ramp up to 5 million ton. So I would say, the focus is now on underground and sequencing. And as you know, we're still getting out of that, those top few levels to get us into a standard operating sequence. So it's still going to fight this is not a year or so to get up to that that drumbeat. And then of course, the second crusher, once that second crusher goes in 2022 that will, and about to step up to that 5 million ton run rate, because we can see the ore down all passes to that crusher. So I don't think there's all that much more to do. There's a few incremental things, but not that much more to do to the surface infrastructure. It's all down the ground.
Paul Young: Yeah. Okay, great. Thanks. And then a question on West Musgrave, Andrew, in West Australia at the moment is this clear as this – there's a clear signs of labor tightness – contracted tightness CapEx increases across steel and other imports, and there's effectively, it's booming over there. So as you work through the feasibility study of West Musgrave, what are you building in as far as escalation and inflation is concerned into the base case, and also tying in, I guess, with environmental studies, is that the critical path, is it, or is it availability of suitable contractors that can actually execute on this project?
Andrew Cole: Look, I think that’s a great question. So, there’s no doubt that resources across the board are tightening in Australia, but certainly in Western Australia. So, they are things that we are thinking about and factoring into the study. We’ll talk more about that in Q2 calls, of course, once we’ve actually built some of those assumptions into the project. I’d say the approvals pathway we would still consider to be the critical path activities. So, the work of the submissions we’ve made for our environmental assessment have actually gone very smoothly, we work with the non-indigenous people was going very well and building that relationship. So, I think it’s still going to be the approvals pathway, that’s the constraint. But in terms of the study, the scope, the way we execute, the types of contracts we actually put in place in the end, it’s all still being debated to give up an optimal risk balanced outcome. Also, I think it’s exactly the right question to be asking, I’m just – we just can’t answer it yet, because we’re still working through it.
Paul Young: Yes. So as far as escalation in inflation you’re saying, you’re still working through that those assumptions?
Andrew Cole: We are. Yes, but we clearly will be taking into account the tightness of engineering design, but also importantly people and construction capabilities.
Paul Young: Okay, great. And Andrew, have you ordered any long lead items on West Musgrave?
Andrew Cole: No, not yet, Paul. They are potentially coming up later this year.
Paul Young: Okay. Thanks. Thanks very much. That’s it for me.
Andrew Cole: Thank you.
Operator: Your next question comes from Sophie Spartalis from Bank of America. Your line is open.
Sophie Spartalis: Good morning, Andrew and Warrick and team. Just wanted to follow-up from Paul’s question on the labor market. Can you just go through why the change in the KPIs to your own workforce and has that been more isolated to the workers who are at on the mine site, please? Thanks.
Andrew Cole: Hi, Sophie, can I just check when you say the KPIs, are you talking about the change in the remuneration framework that we put in place?
Sophie Spartalis: Yes.
Andrew Cole: Yes, okay. So the – what we’ve actually changed is for all employees of OZ Minerals across the business with the exception of the executive team, we now no longer have short-term incentives or bonuses in place. We’ve actually rolled most of those bonuses into their fixed remuneration. What comes along with that though is the expectation of continual high-performance. And focus on learning and development with reflection and a developmental approach to work if you like. We’ve also now removed the performance management system. So, I’m sure most people on this call will be part, will have been part of performance management systems, where you get to the end of the year and you’re assessed as a score at five or whatever. We have found, and I think all of the industry and all of the literature finds that, that actually is de-motivating process and generally doesn’t motivate people to do better work. So, we’ve removed that system. We are pivoting ourselves more to a learning and development type organization, but with the expectation of continued high-performance and it picked and don’t perform we try and move them towards development to perform or out of business. So that’s the changes we’ve made has been very well received around the business. And it’s only for, as I mentioned earlier on all employees across the business with the exception of executives who maintain the KPI system and the bonus structure.
Sophie Spartalis: Okay. So in terms of the workers at the mine site, where you do have these guidance targets in place, where is the support for those, for them reaching those guidance targets? Like how, is it just the expectation that they'll meet them or is there some kind of trigger that if they do meet them, they get additional bonus. You're saying that everything is fixed now, is that, have I interpreted that correctly?
Andrew Cole: All employees of OZ Minerals, there is no bonus system now.
Sophie Spartalis: Okay. Okay.
Andrew Cole: On the mine site, Sophie, our group, but remembering that some of the people that work on our mine sites are not employees. They work for contracting companies like Byrnecut.
Sophie Spartalis: Yes, yes. That's fine. And then just in terms of Byrnecut in this transition of the people and the fleet that's quite unique is that also a reflection of where the market – labor market is sitting at the moment in Australia that you had to hold on to those people?
Andrew Cole: No. Not so much. It's more just our approach to the way that we create value for employees and their suppliers on that side. So as Carrapateena, we had a large number of people who reside mostly in South Australia, working at Carrapateena, and they are good people. The quality of those peoples is not a reflection of the company that I work for. So we, as part of the transition offered or Byrnecut offered nearly all of them, our role in the Byrnecut contract to stay on the Carrapateena nearly all of them accepted that.
Sophie Spartalis: Okay. Just switching gears to Brazil now, you mentioned in your opening comments that, when you invest in certain jurisdictions, you say that as a launch pad to further building out that province, I guess that was the intention. When you initially entered into Brazil, obviously it's gone a lot slower than planned and much more challenging. And now we've got the situation with COVID. Do you still see Brazil as an attractive place to do business going forward and still proving up and building out that capability or is there?
Andrew Cole: Well, looking, we do but Carajás is still a highly perspective throne for copper deposits. And Brazil has that – largely has the technical capability and confidence to develop those copper deposits. And there is no mid-tier sector in Brazil. So those fundamentals still very much exist. So the value proposition for the Carajás in our investment is still very much exists. We review acquisition on these sorts of things frequently. COVID is added very complex and difficult like all of this. So I don't think we're about to make any rash decisions in this environment because our first priority is to look up to people and like those people that support, their families to support, which is what our primary focus is tonight. In terms of the value proposition in the Carajás, that very much exists and is still part of that plan.
Sophie Spartalis: Okay, great. I'll leave it there. Thank you.
Andrew Cole: Thanks, Sophie.
Operator: Your next question comes from Lyndon Fagan from JPMorgan. Your line is open.
Lyndon Fagan: Thanks very much. Look, the first one is just again on West Musgrave with now in FY 2022 looks as though you are now quite comfortable running West Musgrave and the block cave at Carra in parallel. And I'm just wondering whether that's now a function of where pricing is or your expectation of pricing, or whether there's now increased confidence in the company's capability to execute two big projects at the one time, because from memory you were looking at doing them sort of one after the other previously? Thanks.
Warrick Ranson: Yes, positive. But this is not such a pricing vital question. But just to recap timing, while the block cave of capital has already now approved, so that's built into our base case. So the next what is it, 2.5 years – three years for the block cave is effectively declined development. So it's continuing the main access decline from the second crushing chamber when we get this later this year to the bottom of the block cave design level. So that's the work we need to do over the next couple of years. So that's not high capital intensity work. It's very much what I would consider just normal every day mining productivity, whereas if we go ahead with West Musgrave the bulk of the spending would be from 22 to 24 months. So they're not necessarily large overlapping capital projects. The spin would be West Musgrave predominantly first and then the block cave probably second if the West Musgrave goes ahead. I think the other thing Lyndon is that yes, it's a different skill set, so we're building-up plants and surface infrastructure, the other one as Andrew said is, is underground mining development.
Lyndon Fagan: Okay. Thanks. And look, the only other question I had was the injunction in Brazil for CentroGold, I imagine that's all slide down because of COVID, but just wondering if you've got any color on where we're up to with that?
Andrew Cole: Yes. Look it has slowed down Lyndon. Look we're working through now with site formalization at the community relocation plan, which is the last step that we need to take before we can lodge an application to the court for the injunction removal. That process is going well. We're still working through the formalization of that community relocation plan. So I kind of give you much more than that yet, but once the state approves the relocation plan, which we do think imminent we can then launch the application to the court.
Lyndon Fagan: Great. Thanks a lot guys.
Andrew Cole: Thanks, Lyndon.
Operator: [Operator Instructions] Your next question comes from Tim Hoff from Canaccord. Your line is open?
Tim Hoff: Hi, guys. Just a quick question from me. Thanks very much for breaking out the TC/RCs and transport into separate line items. I just was noting that there's a fair jump up in that combined cost of about $0.14. Has that been an increase in transportation costs leading to that, or is that more of a real allocation between how you're splitting it before?
Andrew Cole: Hi Tim, no, it's really Q4 – increase are in Q4 numbers last year when you picked up year-to-date portfolio reconciliation of our run rate. So we – because of the timing of sales, we charged through on a nominal basis, and then when we reconcile it towards the end of the year. So you've actually got probably a slightly undecided position in relation to the Q4 cost. So it's not so much – it's more redline hotspot as of that cost rather than anything in particular, in terms of freight or – asset.
Tim Hoff: Okay. Coming back to the average more, that was all, cheers.
Andrew Cole: Thanks, Tim.
Operator: Your next question comes from Peter O'Connor from Shaw and Partners. Your line is open.
Peter O'Connor: Andrew like [Technical Difficulty] Sorry, Andrew, you mentioned to an earlier question, I think the term you used was nickel comfort level, over the course of different calls in which, you often refer to nickel with less confidence in couple which came out again today. Where are you at with the views on nickel? I know you've talked about doing a lot of work last call and that work is evolving. Why that lack of comfort relative, is it just because it's not your core business or is there something more to it?
Andrew Cole: Yes. Hi, Peter. Look I would say our comfort in the nickel, the commodity itself, the market, the technology that's used in has been growing quarter-on-quarter, so it's not going – certainly not going backwards, and I didn't mean to imply that we were less comfort in nickel today, maybe we'd have things – I think we're getting more and more comfortable. And that seems to be where the market is generally moving with respect to nickel and five capacity batteries are increasingly demanding nickel and electric vehicle penetration rights seem to be increasing, not decreasing. So everything that we are learning about nickel suggests that this is a commodity that has a good robust future to it. My comments around copper is, then the target with couple of [Technical Difficulty] is very different to – the big market and nickel is more volatile than historically at least in cost. So having [Technical Difficulty] nickel volatility, in long – can only be a good thing, what do we need, there is a different question having options at these mine sites, I think is just so important to maximizing batteries. And when you've got a third open kit with a different commodity mix, i.e., being all [indiscernible], that just gives us a lot more flexibility to create the most value we possibly can, for a very small investment, I think we can actually quantify that option for us.
Peter O'Connor: Part of this proportion of nickel revenue as a whole in the company, is there some trigger that you look at to get that comfort in terms of the answer you’ve just given? Or is that just an outcome of the inputs? It’s not a driver?
Andrew Cole: Not so much. In West Musgrave, really doesn’t have a material bearing on our portfolio mix between copper and other metals. So there’s no number, we don’t have a magic number per se that we’re trying to stay under or over.
Peter O'Connor: Great. That TCRC is given the moves in spot TCRC is just remind us of the formation of the TCRC and the contract structures you work under and how do they change? How do they evolve? And how do we see the current spot influencing that number in anyway?
Andrew Cole: Yes. These spot trades are really – we don’t do a lot of spot trades. So, we’re basically benchmark with some of the deficit spending on customers so much locked in for us wonderful benchmark established.
Peter O'Connor: Okay. Andrew, on COVID in Brazil, you are referring specifically to the Carajás location you have in the Carajás area in general, or your comments about COVID in Brazil, it’s a really dynamic country wide issue?
Andrew Cole: Yes. My comments on COVID are more Brazil wide. In fact, COVID in Parauapebas, is probably slightly better situation in Brazil on average. So the community in the Pará region has a slightly lower infection and death rates than Brazil as a whole. What point more so is that it’s probably as bad size as ever been in terms of number of infections and deaths per day, and there is no current sign of that trajectory changing? So that’s what I guess been worried about.
Peter O'Connor: Okay, thank you and by the way, the Annual Report looks good, thanks.
Andrew Cole: Good to hear. Thanks.
Operator: There are no further questions at this time. I would now like to hand the conference back to Mr. Andrew Cole.
Andrew Cole: Thanks, Operator. Thanks all for dialing in. If you’ve got further questions, please give Travis a call. And also if you’ve got any feedback on the updated slides and their format, please send them through Travis would love to hear what you think. Thanks very much, everybody.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.